Operator: Ladies and gentlemen, welcome to the Michelin 2022 First Half Results Conference Call. I now hand over to Mr. Florent Menegaux, CEO, and Yves Chapot, General Manager and Group's CFO. Gentlemen, please go ahead.
Florent Menegaux: Good evening, and good morning to all of you. Thank you for joining us for this semester results. Let me first start by just reminding us about our Michelin strategy and telling â reminding everyone that our equity stories that Michelin's value will be driven by its growth in a time of shifting paradigm. I'm sure all of you have noticed that our environment is much more challenging than it was 18 months ago. So if we recap what you see on the screen, if we recap what's our strategy, our growth strategy is to expand the size of our business and the size of the value created for our shareholders in three areas of business, of course, in wheel tires like we've done for the past decades. Around the tires, it's mainly on service and solutions and beyond tires, it's mainly leveraging our strong capabilities and know-how in high-tech materials. All of that, the around tires and beyond tires will extend the reach of our know-how and our capabilities in fast-growing markets and with good EBIT generation and with lower capital intensity, therefore, enhancing our value creation overall. And what you see on the right of your screen is that the paradigms have shifted. Now we operate in high inflation environment. The global GDP is under stress after a deep dive during the COVID period with a very sharp recovery and now with a lot of uncertainties in front of us, plus many issues in the transportation, logistics and the overall upstream supply chain, and also the energy transition we have to also accumulate. So the paradigm shifts are now impacting our activities and we are adapting to them while we are confident that our strategy we think is the right one for Michelin. So if we now move to our results for the semester. We are staying the course in a very turbulent environment with sales up almost 19% and with an operating income of â¬1.5 billion. We maintained our guidance for the year, and if we move into the â some more details, the market environment in which we operate has overall deteriorated with the new systemic impact affecting our business. Of course, we have the rippling effect of the conflict in Ukraine and the health crisis â the COVID health crisis that is still in front of us in some part of the world. Despite that our sales have been up almost 19%. Despite also, the supply chain disruptions and the fast rising inflation that is dragging down the tire markets. Our tire volumes were down 2.2%, but stable if we exclude the sales in Eastern Europe and in China. Eastern Europe is â our activities around Russia. We have a strong momentum in non-tire sales that are up 18% at constant exchange rates. We have very positive price mix effect of 14% that is reflecting our pricing policy and our determination to offset every cost inflator. And we have experienced 5.2% positive currency effect led by the U.S. dollar. Our operating income of â¬1.5 billion or 11.5% of sales is made of â basically is due to our pricing management that has maintained our unit margin integrity, and this operating income is up on every reporting segment and our operating margin reflect 1.2 dilutive effect from the price increases introduced to offset inflation. Our free cash flow has come back to more normal frame and is negative in the first semester of â¬1,014 million before acquisition. The EBITDA has improved to â¬2.4 billion, but working capital requirements have been hit by inventory replenishment and also by a price element in inventory. So it's been overall hit by inflation. We also have unusual seasonal pattern, our cash flow for the year will be generated by the business in the second half of the year. For all these reasons, we have decided to maintain our 2022 guidance with an operating income in excess of â¬3.2 billion at constant exchange rates and with a structural free cash flow in excess of â¬1.2 billion for the year. I now leave the mic to Yves Chapot, who is going to give you some more details about our results.
Yves Chapot: Good evening, everyone. So before zooming on the business and financial performance, let's share the overall, let's say, holistic group performance looking at our profit, but also the people and planet dimensions. We have selected a certain number of KPIs extract from our strategic scorecard. On the people side, we have progressed in the share of non-French national within our top management, which means the top 100 senior executive within the group. It's a progress of 7-point over 2020, so we are now at 37.5% of non-French population within this population. Our TCIR, which is the frequency incident rate, labor accident rate has improved by 0.21 basic point over the first half of 2021, demonstrating here also the progress we are making in that domain. Sales and operating income has been already commented by Florent, and I will come back with more detail on it. We are also improving on the planet side. Our CO2 emission, Scope 1 and 2 has reached 2.6 million ton over the last 12 rolling month, which is an improvement over the figure that we reached at the end of December last year by 0.1 million tons and we are on line with our target to decrease it by 50% by 2030. And our i-MEP, which is a composite indicator of our manufacturing impact including CO2, water, CUV and waste has also improved. It was at 92.6 at the end of December and it reached 89.7 at the end of June 2022. The business environment has been â was already pretty  at the beginning of the year. Of course, the invasion of Ukraine by Russia has exacerbated the situation. But we should not forget that the health situation has not stabilized. I mean China has been seen some of its cities or provinces lockdown during several weeks, during the second quarter, particularly. And as I said, all the perturbation linked to supply chain and has been intensified because of the war in Ukraine. Just few example, transportation, shortage of truck drivers has been spread over Europe because a lot of fleets were relying on Ukrainian truck drivers. The increase of costs as they spread full energy to a lot of value chain, including some raw materials that are using a lot of energy to be produced, and the labor shortage is pervasive in North America, but also in a lot of areas where we can consider that we are really in â we have really entered into a period of talent war.  If we look at our markets, the global passenger car and light truck tire market has been on the first quarter was, let's say, in average in the range we have initially forecasted on the second quarter, except in June, where there was some rebound of the original equipment market, particularly in China, in the U.S., the market has turned below our expectations. Global truck tire market, including China is â trade more on the upper side of the range. We have forecasted at the beginning of the year. Ourselves, so â¬13.3 billion plus 18.7%. The main driver is of course the price mix 13.9% of which 12.8 points are coming from pure price increase. We have implemented free price increase over the semester, 1st of Jan, 1st of April, and in lot areas, 1st of May or 1st of June. The Scope effect is mostly due to the  integration and the volume effect is primarily due to the sales loss communities, both in Eastern Europe and in China. So if we exclude China and Eastern Europe from our figures, we are recording flat sales in volumes versus the first half of 2021. Non-tire business growing by 18%, so without currency exchange rate, which show that says the fact that the â we invested in areas around and beyond tires that are intrinsically generating higher growth rate. And the currency effect is mostly due to the dollar, but basically all currencies except Japanese yen and Turkish lira has improved over Euro during the semester. Regarding the segment operating income, it has increased by â¬109 million despite 2.2% volume, less than the first half of 2021 and itâs primarily due to the price mix, raw material and manufacturing logistic cost effect. We have been able, just with the price effect to hedge all the inflation in our cost of goods sales by nearly â¬140 million. There was also some inflators in G&A and you observed that the currency effect is only 10% of what was the currency effect on the sales is due to the fact that we have a large revenue base in U.S. dollar, but we have also large cost base in U.S. dollar. On contrary, for example, Turkish lira, which has devaluated by 47% versus the Euro on average over the semester. We have mostly revenue in Turkish lira, particularly no cost in this currency.  By segment, so you see for that, all segments are contributing positively to the improvement in segment operating income, . And I just would like to highlight the progress, the recovery of the SR3 segment, which was generating 11.3% operating margin on the second half of 2021 and which is now at 13.5% during the first half of 2022 and when we look internally quarter-by-quarter, we are clearly seeing very strong signs of recovery.  Regarding the cash flow, we have â as Florent already mentioned, a negative cash pattern, which is looking more, let's say, what was a traditional cash pattern before 2021? We have highlighted that last year, but maybe it's difficult to remind that in 2021, we have really abnormal year. We started at December of 2020 with very low level of inventory, and we have been generating positive cash flow during the first half, which has never been the case for the group over the past 20 years. So EBITDA improved by â¬161 million, but we have increased in working capital by â¬1.7 billion. â¬1.2 is coming from inventories. And on which the 1.2 there is nearly one-third that is coming from the pure price effect of raw material in the value of inventories. And looking over the past five years, you will observe that there is always a structural gap between let's say the high tide and low tide cash position between â¬1.5 billion to â¬2.6 billion, if you look at the pattern of the previous year, so it make us confident that we are able to reach our second half cash targets. The debt of course, has increased along with the free cash flow and the dividend payment and the gearing is at 29.9% versus 18.6% at the end of last year and 26% at the end of the first half of 2021. Our capital expenditure, so you remember in end of 2019, we have announced that we should spend around â¬1.9 billion over the coming year, so basically 2020 and 2021. Due to the COVID crisis, first, and then our ability to recover in 2021, we understand over this past two years, nearly â¬0.9 billion. And as we have announced during the 2021 yearly presentation, we're expecting to catch up this â¬0.9 billion over the next three years. So in 2022, we should reach around â¬2.2 billion of CapEx recognized. The CapEx cash out is slightly below because we have a seasonality of CapEx, which is very strong in the second half of the year. Before moving to the full-year guidance, I would like to draw your attention on two observations. The first one is looking at the way the group has been able to hold this gap through the different cycle. So in green, you have the market, the volumes effect over the past 14 years. We can draw two conclusions from this slide. The first one is that the group has, let's say, improve its ability to resist to the crisis. We face nearly the same volume effect in 2019 versus 2020, in one case our operating margin dropped to 6% in 2020, it dropped only to 9%. And if you look at the cash generations since basically 2017, the group has constantly generated â¬1.2 billion or $1.3 billion or more euro of free cash flow over the period despite different let's say, volume and market situation.  The second observation I would like also to share with you is ability of the group to successfully integrate its strategic acquisition and deliver the expected synergies. And that's through both of course, in tires, wheel tires with integration of Multistrada and Camso. Multistrada, which was a loss making company, when we acquired it in 2019, is now generating very strong profit. Thanks to the move and our ability to move the production capacity toward our Tier 2 brand, which are now accounting for 70% of our total output. On the other end, if I look around tires, we have now created MICHELIN Connected Fleet brand, which is the umbrella brand around all our services and solutions activities. And Masternaut, which has been acquired at mid-2019, now is spreading over Europe, in Germany, in Spain, but also outside Europe in South Africa, Australia. And Fenner, which is the core of our flexible composite activities, is developing its activities both with organic and bolt-on M&A around different activities, either conveyor belt, but also sealing and power transmissions belt. Regarding the synergies, in the past three years, we have been always on track and even ahead of tracks if you look at the overall synergies coming from these acquisitions.  Moving now to the guidance, I would like to come back on the market scenario on which we are basing our â which are the assumptions of our full-year and second half guidance. So the market are far more uncertain and the environment is far more uncertain than six months ago and we consider that overall, let's say, the global risks linked to the supply chain, potential energy crisis in Europe, the fact that the original equipment market for passenger car tires has not yet recovered. We have decided to lower our assumptions regarding market scenario. For passenger care and light truck tires, we are now considering the market should be between minus two and plus two with probably third quarter, which will be very favorable because in 2021, the third quarter has been very bad, particularly for the original equipment market. And the fourth quarter that will be more challenging because the fourth quarter was very strong, particularly in the winterized market in 2021. The truck market should be resilient, positively growing, of course, outside China with growth rates in the range of 2% to 6%. OEMs, order books complete for the year and the replacement market should benefit from the stronger freight demand although comparative data on the last quarter were very high, so here also we expect market more favorable on the Q3 and less favorable on the Q4. On the specialty sides, the mining demand is still very robust, and we believe that shipping difficulties should ease in the second half. I must insist on the fact that it's a real challenge today to ship products from Europe and North America to our mining sites â our mining customer sites. On beyond road tires, we expect also a strong demand despite lingering of OEM production difficulties, and sometimes of some market cooling down in some areas. With this scenario we believe that of course our sales should be in line, growth in volumes should be in line with the market. We expect the cost impact of raw material, prices, transportation and energy cost to be strongly negative, but we expect on the other hand to be able to hedge and to do better than hedge these inflaters, thanks to our price and mix. So having taken account all these elements, we have decided to maintain our guidance for the full-year with the segment operating income at constant exchange rates at above â¬3.2 billion and the structural free cash flow which will be above â¬1.2 billion. So thank you for listening this presentation, and I think now we can open the Q&A session.
Operator:  We have our first question from Tom Narayan from RBC. Sir, please go ahead.
Tom Narayan: Hi. Yes. Tom Narayan, RBC. Thanks for taking the questions. The first one is on energy rationing, nat gas specifically. My understanding is that tire business is very energy intensive. So this could be an area targeted by governments in Europe. Just curious how this would impact Michelin's plants specifically, and are you â may perhaps overproducing now ahead of energy rationing in Europe. And secondly, it'd be great if it could just â I know you kind of talked about it in the comments, but just maybe some more call on why you expect free cash flow to be so robust in H2 post H1 performance. Thanks?
Florent Menegaux: Thank you. I will first give you some elements about our situation regarding energy. So yes, you're right. As we transform materials, we consume a lot of energy. We have created a backup plan for almost every plant in Europe, where we are able to switch from gas back to coal when necessary and when we cannot switch our energy to oil. But all our plants can either switch back to oil or coal if and when it required across Europe. I think there is only one small exception. So unless there is a cut in electricity, we should be able to operate despite shortages in natural gas. Now, whether are we overproducing right now? The answer is no. We are not creating inventory at this stage to offset future issues on our production capabilities in the second semester. And for the free cash flow, I leave the floor to Yves will answer you.
Yves Chapot: So Tom, you have part of the answer in the presentation. If you look at the past, we know that we have structurally cash, as I say, low tide and high tide cash position with an amplitude of nearly â¬2 billion over the year. So given the fact that we had already at the end of H1, a bit more than â¬400 million of price effect in inventory due to the raw material price increase. There is no reason that this figure will dramatically change by the end of the year, so it'll enter into the, let's say, the structural free cash flow correction. So it means that on the second half, we should generate at least â¬1.8 billion and it's a range of what we have done if you look in 2019 or 2020 in the average. So just for the reminder, we have, let's say, the lower inventory position during the year, end of the year and beginning of the year. So between December and January. In term of cash, we have also generally a strong position because the winter season has been ordered by our distributors in September, October. So they are generally paid by the end of the year. So generally, there is a strong seasonality component in our free cash flow generation between the two semester.
Tom Narayan: Got it. Thank you so much. And if I just have a one quick follow-up, are you maintaining â the understanding that price could offset raw materials in 2022 in SR1?
Yves Chapot: Yes.
Tom Narayan: Okay. Thank you.
Operator: Thank you. Next question from Thomas Besson from Kepler Cheuvreux. Sir, please go ahead.
Thomas Besson: Thank you very much. Thomas Besson from Kepler Cheuvreux. I have three questions, please. Firstly, your SR1 performance is actually the main variant to consciences expectations today. Is it possible for you to confirm that there was no one-off in these figures that you reported? Second question, could you â and I think that's what you've been saying that I just want to confirm the scenario for SR3 margin recovery over the next 18 months. Is it still valid? Is it fair to assume that the 11.3% margin we've seen in H2 weather troughs and that we should see over the next 18 months sequential and year-on-year margin improvement? And thirdly, I'd like to come back on the bridge to what you said about the FX10 win was just 47 million, 10% of the revenue impact. Could you guide for what you expect for the full-year in terms of FX10 win and also clearly highlight what allows you to be confident in having an adjusted EBITDA more than 10% above H1 and H2? Thank you.
Florent Menegaux: Thank you, Thomas. So I will answer your second question and Yves will answer your first and third question. About SR3, yes, we are confident that we will turn back to the margins. Take into consideration the fact that SR3 is mainly indexed contracts, and we have the anniversaries of the contracts, plus we also have had very intense negotiation with all the operators in those segments, in the various activities of this segment to pass on price increases to cover energy cost and transportation as well. So with the volume that will improve as well because we will have â we have found ways to ship our tires differently from the way we used to do it. So therefore, we can ship more quantities. We will see our margins quickly coming back to their historical levels. So we've hit the low point in the Q1 of 2022 and now we are on the recovery path.
Yves Chapot: So first, there was no one-off regarding the group performance. The only one-off was below the segment operating income. It was the impairment that we did on our assets in Russia of nearly $200 million. But in SR1 performance, there is absolutely no one-off. SR1 is probably the segment that has been the most penalized by what happened in Russia, in China with SR3. On the other end, SR2 is â we are less exposed to SR2 in these two regions to probably the segment that was less penalized. Regarding the ethics. So basically in U.S. dollar, we have a drop through of let's say in average between 25% to 35%, which means that when you have U.S. dollar moving as it move by, basically I think 10% versus the euro on the first half of the year, it has an impact on sales of 3.8% and an impact on the segment operating income of nearly 30% or 1.1%. On contrary, the drop through of the Turkish lira is nearly 85% because we have, as I said, we are basically only revenue in Turkish lira, the cost are only the logistics and sales operations cost, sales force that we have in the country. So when you have a currency, which is dropping as the Turkish lira did by 40% versus euro, basically you have nearly 35% of that that is translated directly in your P&L. And for the second half, the appreciation of the U.S. dollar particularly versus the euro was of course, very strong in the second â stronger in the second quarter than in the first one. We can expect that here also, I don't have a crystal ball to have a bigger Forex effect in our segment operating income in the second half than in the first one.
Thomas Besson: Thank you very much. Very clear.
Operator: Thank you. Next question from Gabriel Adler from Citigroup. Sir, please go ahead.
Gabriel Adler: Yes. Hi. It's Gabriel from Citi. Thanks for taking my questions. My first is on inventory level with the dealers. Have you seen any signs of pre-buying in the first half, particularly given the prices have been rising? And is that one of the reasons why you've looked to downgrade your market outlook in SR1? And then my second question is just coming back to the free cash flow. Could you just comment maybe a little bit further on which elements of the working capital that you expect to support the second half recovery? Because I understand the point around historical seasonality, but historically it's really been receivable swinging back that have supported the second half recovery in cash. Whereas this year, clearly inventories are having a very negative impact in first half. And I'm just trying to better understand why you think inventories will reverse given making quite a significant impact from inflation of the value of raw mats and your inventory, which is unlikely to soften in the second half. So just some comments on the working capital element would be really helpful. Thank you.
Florent Menegaux: Thank you. For your first question about dealer inventory. So across all regions, we have seen the inventory replacement happening. Now we have also seen, especially in Europe and to some extent in North America, pre-buy for competitors brand at dealers because the competition have followed lately our price increases, therefore, they are pushing a price increase by the 1st of July, which led to big pre-buy of competitor's brand in the dealer inventories as of end of June. As far as Michelin is concerned, especially in passenger car, the inventories have been replenished, but we don't have excess inventories across dealers. Now, the pre-buy for Michelin brand did not happen because we have not been really in capacity to supply all the demand because of the issues we have related to production. And Yves maybe for theâ¦
Yves Chapot: Regarding the free cash flow and the working capital, I will repeat what I said before. We have a traditionally very strong cash generation during the last three-month of the year. One because of the seasonality of the sales and 2021 from that standpoint has been a not normal year where we have a stronger H1 than H2. We believe that we are back to a normal pattern in term of seasonality. We have at the end of the first half an increase of inventory â¬1.2 billion. As I said, part of this increase will remain, which is a price effect, but it is the price effect that we correct to calculate what is a structural free cash flow. And of course, the volume effect should decrease because as I said, at the end of the year, it's probably the lowest position in term of inventory level during the â if you look at the full yearly cycle. And for account payable, we have generally very strong sales in September or October. November, it might depend on the winter season, but most of the winter tires are sold to distributors in September and October. And generally, they are paid at the end of the year, which explain also the fact that it's end of December is a moment where we have the lowest level of accounts receivable. On contrary, we acquire some raw materials at the end of the year in order to prepare the spring season at the beginning of the year. So generally, our production facility are running full at the beginning of the year. And it generate a payable that we pay during first quarter. So we don't see any major reason, this year was a bit exceptional because of the price, very strong price effect in the inventory. But we have seen such similar situation, I think 10 years ago, at the beginning of the year, 2010. 
Gabriel Adler: Okay. Thank you very much for the detail.
Operator: Thank you. Next question from Michael Jacks from Bank of America. Sir, please go ahead.
Michael Jacks: Hi, good evening. Thanks for taking my questions. Perhaps just the first one on raw mats, we've seen a moderation in the last three months in natural rubber and some of the other raw mat inputs, should we expect perhaps to see this reflect in income statement in a normal three to four months period, or will the higher inventory volumes that you alluded to ? That's the first question. And my second question is on energy cost inflation. To what extent of higher energy prices impacted the first half earnings? And do you expect higher impacts for the second half? And perhaps just as an add-on to that, how much of your current energy usage is indexed to spot energy prices referring to gas and electricity? Thank you.
Florent Menegaux: So with the question about how the raw materials are going to evolve in the future, we don't know. What we have seen is as you were mentioning, stabilization, but we have been clear from the very beginning that we reassess every quarter what we do in term of pricing versus what we see happening in raw materials. So it means that why do we do it every quarter because it's the time for us to recognize in our P&L, the purchase price we see in our account. So far the stabilization is good news because we don't have to push price increase immediately because of that and what it will be in the future, many unknowns and uncertainty. So at this stage, we are not too concerned about that. The second element is also our level of inventory in raw mat is in better shape now than it was last year same period. So we have replenished our semi-finished and raw materials inventories. So we are at good level. So we are in a, I would say, in this environment, I don't know whether I could say in a comfortable position, but we are in a better position than what we were in the same period last year. And Yves maybe for the other elements.
Yves Chapot: Yes. So first, already in the H1, so you mentioned more than 700 million of manufacturing and logistic costs inflation. We have very strong increase in transportation costs both inland and shipping costs and energy has been also a very strong driver for these. So there are the two main driver behind this logistics and manufacturing cost increase. Regarding the energy, I don't want to enter into too much detail, but we have a policy which consists to hedge at the beginning of the year between 25% and 75% of our following year energy consumption. In order to protect ourselves against potential increase, but also not to be completely fixed, if energy price were going to decrease. But we are â and of course, we have such a range because we want to give the flexibility to position ourself depending on the anticipation on energy prices. So I'm not going to disclose our position currently, but â so it means that the rest is linked to spot price. But we have a policy of hedging, which let's say try to be consistent with our overall, let's say risk management policy. 
Michael Jacks: That's clear. Thank you. And if maybe I can just add one quick add-on related to energy cost. With regard to retrofitting the boilers to be able to use coal, is this a contingency plan only, or would you potentially preemptively switch? And under EBIT scenario, if you do switch, are there any incremental cost implications relative to gas prices? I don't know, maybe logistics cost for instance makes it a lot more expensive. Thank you.
Yves Chapot: Yes. Switching back to coal is only happening mainly in Poland, where we had the boiler that used to be on coal and for environmental reasons, we had switched to gas and now we have to switch it back to coal. So â but it's â most of the other facilities is having boilers that are capable of handling either gas or oil and coal is mainly happening in Poland and we hope it's a temporary situation up until we have found a reliable source of less environmental impact source of energy.
Michael Jacks: Understood. Thank you.
Operator: Thank you. Next question from Giulio Pescatore from BNP Paribas. Sir, please go ahead.
Giulio Pescatore: Hi. Thanks for picking the question. I want to fall back on energy cost. I understand you don't want to go too much into the details of your contracts. Can you just maybe give us a broad indication of what we should expect in terms of incremental cost from energy for next year based on the spot prices you see today in the market? And then the second question moving to pricing, I was just wondering, is it more difficult for you to increase prices in an event where raw material costs are actually going down, but you still need to offset some of the energy headwinds. And then my third question on free cash flow, going back to the winter season, how much are you actually relying on a very strong winter season to reach your guidance? Is this a major factor or it's a minor one? Thank you.
Florent Menegaux: So on prices, of course, there is a price elasticity in the market, but sometimes we confuse that we have a static view of the price elasticity and where we should consider relative view of the price elasticity. So far, we have been able to pass price increases in the market, thanks to the quality of our products and services that have are appreciated by the market. We have not seen yet any real impact on the demand, whether that will remain. And if we have to pass further price increases, it'll depend on our relative positioning versus the rest of the market. So it's very difficult to answer definitively that question, but of course theoretically there would be a price at which people will not be willing to buy tires, where it's difficult to say at this stage. And Yves, for the other questions.
Yves Chapot: Well, regarding energy cost contractor negotiation is not for 2023 is not coming â going to be done during the fall. So it's a bit too early to speak about 2023 for next year cost expectations. It will first depend on what is going to happen in 2022. And regarding free cash flow, of course, as I said, there is a seasonality effect. We are back at the normal seasonality and maybe the main difference in 2022 versus what happened last year is with the fact that in 2021, we have a very low activity during Q3, partially composite by relatively strong sales in Q4. But we are back, let's say to a normal winter season, which for truck tire is mostly fleets equipping their vehicle with new tires before the winter, which is the most demanding season in term of safety. And in the passenger car tires, of course, winter tire equipment in seasonal market, but also more and more customers switching to all seasons and to our cost climate ranges.
Giulio Pescatore: Thank you. So can I just follow-up on the energy? I mean, I understand that the negotiation happens in the fall, but the fall does feel closer than ever given the energy constraint. So just based on spot prices, should we expect a very significant increase in cost next year or is it can you give us any indication to help us with the expectations for next year?
Florent Menegaux: We don't know, whether we see a very significant increase, it depends on many parameters. So at this stage we don't know.
Giulio Pescatore: Understood. Thank you.
Operator: Thank you. Next question from Martino De Ambroggi from Equita. Sir, please go ahead.
Martino De Ambroggi: Thank you. Good evening, everybody. From Equita. The first is on the guidance again, you are revising downwards market volumes and you assume to perform in line with the market. So that means based on my estimates that you have more than a â¬100 million lower operating profit contribution from volumes. So how do you plan to offset these lower volumes? The first question. And the second, sorry if I missed it, but in the previous call, you mentioned that the cost inflation all inclusive was â¬2.4 billion increased by â¬1 billion compared to your expectation at the beginning of the year. Is it still â¬2.4 billion? And maybe referring to this â¬2.4 billion, you can split a bit of energy, transportation, labor cost because in the previous call, you mentioned that energy was increased by â¬500 million, transportation between â¬300 million and â¬400 million, labor and the other â¬100 million. So just to have a rough idea. Thank you.
Florent Menegaux: Okay. So on the first part of your questions, your question is a testimony to our very good performance because we are â as you said, we are able to increase our profit in volume despite this very messy environment. And despite the fact that we have issues on the volume, most of them unrelated to our core business, but due to the environment in which we operate. So thank you for asking that question, the recognition of this â your simple question is a good recognition of the excellent work that our teams are doing. And for the rest I leave to Yves.
Martino De Ambroggi: Yes. If I may, but what are lower costs, higher mix, what is your ability to offset these â¬100 million or more of lower volumes contribution?
Yves Chapot: You have it in the bridge of the first half. So you don't necessarily need to multiply all the figures by two, but the bridge of the first half is the demonstration that despite the loss of volumes, particularly due to what happened in Eastern Europe and in China, the group was able to generate, so if I exclude exchange rate, more than 60 million operating margin than first half of 2021. As far as inflation is concerned, we are still in the range of â¬2.4 billion. And honestly, itâs the preparation we share with you during previous calls regarding raw mat, logistics and energy has not fundamentally changed. So it means that we are going to absorb in 2022 twice the inflation that we absorb in 2021.
Martino De Ambroggi: Okay. Thank you. If I may just, if it's possible to have a rough indication of profitability divided by SR1 and SR2 for the full-year?
Florent Menegaux: No, we don't disclose forecast guidance for business segment.
Martino De Ambroggi: Okay. Thank you.
Operator: Thank you. Next question from JosÃ© Asumendi from JPMorgan. Sir, please go ahead.
JosÃ© Asumendi: Thank you. Good evening. Couple of items, please. Can you talk a little bit around CapEx and this normalization of CapEx and how much of that is being dedicated to capacity expansion across any region? Second, please can you talk about mining? Sounds very promising. You mentioned robust demand and shipping difficulties. What are you tracking â monitoring to see an improvement in earnings in this division in the second half of the year? And then finally, if you could â maybe just give us a bit more color with regards to volume for SR1, SR2, SR3, second half versus the first half. If you could just give us a bit more color around those three divisions? Thank you.
Florent Menegaux: Okay. On the volume, I will leave to Yves answer. On CapEx, we have low expansion in capacity and many of our investment is passed to be able to produce the tires that are successful enough so that we can have the prices in the market. We consider that in the CapEx that we are forecasting for the year, you have the inflation on those CapEx as well that we are offsetting by making arbitrations on our CapEx portfolio, but we don't give too many details about how we spend those CapEx. On the mining, what we track as â we know the beauty of mining is that we almost can track every tire we produce and sell. So we know perfectly how many tires are on boats to be delivered to our customers. And we know that our shipping rate is increasing weeks after weeks. So we know our big issue has been not the demand, but our capability to ship the tires and now we are able to track that we have seen more tires shipped and those would trust that in sales in second semester. And Yves on volume.
Yves Chapot: Regarding the volume, I think, you can stick to the hypothesis we took for the guidance. So by difference what happened during the first half, you can guess what are our market expectation for the second half. We are of course betting on the rebound on the original equipment market, which has been particularly penalized during the second half of 2021 with the microchips crisis. And of course the rebound of China, where the market has been severally impacted by the lockdown during the second half. So that's basically the main hypothesis behind these volume effects.
JosÃ© Asumendi: Thank you, guys. Thank you.
Operator: Thank you. Next question from Philipp Konig from Goldman Sachs. Sir, please go ahead.
Philipp Konig: Yes. Thank you for taking my questions. I just wanted to come back on the price mix against the inflation. You mentioned in the guidance now that you're expecting to be slightly positive for the â you already did over â¬200 million in the first half, looking out for the second half, do you expect to do the â¬200 million maybe again in the second half or is that sort of maybe rather neutral effect for the second half? Any color there would be helpful. My second question is on the mix. You just pointed out that you're betting on a recovery in the original equipment, which is obviously less profitable for you. Is it fair to say that you potentially could see a negative mix effect in the second half? It was already sort of sequentially lower in the second quarter. And then lastly, it is just a very simple question on the volumes. I know you're sort of saying you want to grow in line with the markets, but do you still believe that group volumes can be up this year on a full-year basis? Thank you very much.
Florent Menegaux: Okay. So the first element of your questions so about the mix effect, we consider that if you take all the mixes together, geo mix, product mix, segment mix, et cetera, we should be slightly positive for the year. So it means that in the second semester it would be okay. Now, when you look at the pricing, you also have to consider that we have been able to offset the overall impact of all inflaters despite the fact that we have a large portion of our business that is with index contract. Those index contract have anniversaries that are coming in the second semester. And for example, in mining, we have price increases that are happening 1st of July. So in second semester you will see on the index contract, additional price increases due to the anniversaries of the contract, and also all the renegotiation we have been undertaking over the past months. So that's why we are confident in our price mix scenario for the second semester. And maybe for the volume, Yves.
Yves Chapot: So I have already answered that.
Operator: Thank you. Next question from Christoph Laskawi from Deutsche Bank. Sir, please go ahead.
Christoph Laskawi: Good evening. Thank you for taking my questions as well. It's actually another . Coming back to switching the energy source potentially in a four-week scenario, are you currently already entering into contracts to secure the new energy sources and did you face any cost related to that at all? Or could there be a risk simply because there will be a run of several companies on oil or coal that A) prices are significantly increasing in H2 again, and there might be a potential shortage for one or the other? And then just last point, you have said already that the demand hasn't really weakened because of the pricing and you have been able to conduct the price if you have planned to. In the current planning scenario, is there any weakening factor in for Q4 where we might see demand bite a bit more because of the consumer budgets or are you essentially assuming situation holds that you've seen in H1? Thank you. 
Florent Menegaux: So on the last part of your question about the demand in the fourth quarter, our assumption is that demand in the fourth quarter would be mild. But we do not right now anticipate drastic scenarios. Of course, many things can happen in the meantime.
Yves Chapot: Regarding the energy situation we have, as I said earlier, we try to edge part of our purchase. We are also by the way buying also energy from sustainable or renewable sources. In some countries, we have nearly 100% of the electricity. We buy that is so-called green. But as Florent said, we have put in place the contingency plan in order, particularly to protect the sites where that are today mostly relying on Eastern European gas. But the past two years has been the demonstration that we have to face any kind of crisis and agility and let's say ability to wave this crisis is starting to become a strength within the group. Although there is a lot of cloud on the horizon, we remain relatively optimistic.
Florent Menegaux: Thank you, Yves. Thank you all for your participation tonight. This is ending our question-and-answer session. Thank you for your commitment to Michelin and we'll see you soon. Thank you.
Yves Chapot: Have a nice vacation. Bye-bye.
Operator: Thank you, ladies and gentlemen. This concludes todayâs conference call. Thank you all for your participation. You may now disconnect.